Operator: Thank you for standing by. Welcome to Gevo's Fourth Quarter 2025 Earnings Conference Call. [Operator Instructions] As a reminder, today's program is being recorded. And now I'd like to introduce your host for today's program, Eric Frey, Vice President of Finance and Strategy. Please go ahead, sir.
Eric Frey: Good afternoon, everyone, and thank you for joining us on today's call to discuss Gevo's Fourth Quarter and Full year 2025 results. I'm Eric Frey, Vice President of Finance and Strategy at Gevo. With me today, we have Patrick Gruber, our Chief Executive Officer; Paul Bloom, our President; Leke Agiri, our Chief Financial Officer; and Chris Ryan, our Chief Operating Officer. Earlier today, we issued a press release that outlines our fourth quarter and full year 2025 results and some of the topics we plan to discuss as well as a slide presentation that we will discuss on today's call. Copies of the press release and the slide presentation are available on our website at www.gevo.com. Please be advised that our remarks today, including answers to your questions, contain forward-looking statements within the meaning of the Private Securities Litigation Reform Act. These forward-looking statements are subject to risks and uncertainties that could cause actual results to be materially different from those currently anticipated. Those statements include projections about the timing, development, engineering, financing and construction of our alcohol to jet projects, our future carbon credit sales, our Gevo, North Dakota and RNG plants and other activities described in our filings with the Securities and Exchange Commission, which are incorporated by reference. We disclaim any obligation to update these forward-looking statements. In addition, we may provide certain non-GAAP financial information on this call. The relevant definitions and GAAP reconciliations may be found in our earnings release, which can be found on our website at www.gevo.com in the Investor Relations section. Following the prepared remarks, we'll open the call for questions. I'd like to remind everyone that this conference call is open to the media, and we are providing a simultaneous webcast to the public. A replay of this call and other past events will be available via the company's Investor Relations page at www.gevo.com. I'd now like to turn the call over to the CEO of Gevo, Patrick Gruber. Pat?
Patrick Gruber: Thanks, Eric. What a year. Successfully acquiring and integrating our North Dakota ethanol and carbon capture assets has transformed our adjusted EBITDA and has enabled us to learn and to capture value from carbon, treating it as an important co-product in addition to the ethanol, animal feed and oil that we produce. Gevo North Dakota has performed superbly well. It's the well-run operations, combined with our learnings on how to capture value from carbon dioxide that have allowed us to turn positive on operating cash flow in the fourth quarter. We also now have 3 quarters in a row of positive non-GAAP adjusted EBITDA. I'm very pleased with the progress and what we are learning. Great operating results, combined with consolidating our debt in early 2026, has strengthened our balance sheet and increased our cash on the balance sheet without tapping into equity markets. We also continue to make progress on our ATJ-30 plant, the jet fuel project that is targeted for our North Dakota site. I believe Gevo is in a really good place. I make this point because you probably all recall that I'm retiring as CEO on March 31. Paul Bloom, who has been with us 5 years now, will assume the role of CEO on April 1. He has been instrumental in helping us build the business platform to where it is today. He also knows technology and processing, operations, market development and business. I'm convinced he's the right person to take over. I think he will be a really strong CEO, and I'm excited for him to take the helm. Paul, it's your show today.
Paul Bloom: Thanks, Pat. To begin, I'm extremely honored to be taking on the role of CEO starting April 1. Pat has led the company for nearly 2 decades, guiding Gevo through some incredible times and put us in a great spot with our current business that sets the stage for future growth. From developing our intellectual property portfolio to shaping Gevo's business system from field to flight, Pat has been a visionary leader for renewable fuels and chemicals. I'm happy to announce that after Pat's retirement, he will continue to serve on Gevo's Board of Directors, and the company will continue to benefit from his expertise and insights. Thank you, Pat. Now I'm pleased to highlight some of the progress we made in Q4 and on our full year for 2025. 2025 was truly a transformational year for Gevo. The successful acquisition and integration of the Red Trail Energy assets now operating as Gevo North Dakota marked a pivotal moment in the company's growth story. I want to express my sincere appreciation for the outstanding people and great community who have welcomed us so warmly. Their partnership and dedication have been essential to our success. The team did an outstanding job across the board in 2025, delivering record-setting biofuel production, starting up our carbon business and leading the industry with some of the first large-scale 45Z clean fuel production tax credit sales. All of this was accomplished while substantially advancing our alcohol-to-jet growth platform. Our execution in 2025 led to 3 consecutive quarters of positive adjusted EBITDA with almost $8 million in adjusted EBITDA in Q4 as we continue to make solid progress on our goal of reaching $40 million in adjusted EBITDA on an annualized basis from our current asset base. Leke will give more color when he highlights our financial results. Gevo's operations team exceeded the nameplate capacity of our ethanol production facility, reporting a record of about 69 million gallons of ethanol produced during the full 12-month period of 2025 while capturing 173,000 metric tons of carbon dioxide. To further build on these strong results, I'm happy to announce that we've approved our capital plan for Gevo North Dakota to expand capacity to 75 million gallons per year, produce more co-products, improve energy efficiency, capture more carbon dioxide and invest in our operational reliability. We are reinvesting in Gevo North Dakota to grow our base business and improve our returns while we set the table for alcohol to jet. We have an aggressive time line to deliver these projects and anticipate they will be starting to deliver returns in early 2027. Chris will say more on this during his operations update. During 2025, we also started up our carbon business. The team has done extremely well developing the business from scratch, and we believe we are the first biofuel producer to develop and operate this business model. We believe our flexibility to sell carbon value either with our fuel products or separately in the voluntary carbon market provides a distinct advantage for optimizing returns and will apply to our ATJ growth platform in the future. In Q4, about 80% of our carbon benefits remained attached to ethanol gallons sold into low carbon fuel markets, and we built our inventory to roughly 30,000 tons of carbon dioxide removal credits or CDRs, by the quarter's end to meet future demand from spot and contract sales. Our customer base for CDR credits continues to grow beyond those previously reported such as NASDAQ and now includes companies like PayPal, Bank of Montreal and additional international clients. As the market develops, we are confident that Gevo is well positioned to produce, certify and supply high-integrity carbon credits that can help supply the growing market demand. In addition, Gevo retired carbon credits from Gevo, North Dakota to offset substantially all our own air travel in 2025. At Gevo, we're committed to leading by example. We don't just talk about our values. We put them into action by utilizing our own products and solutions. Turning to our growth platform. Let me comment on ATJ-30, which stands for alcohol to jet at 30 million gallons per year in North Dakota. We refer to this as Project North Star. As we've mentioned before, we anticipate that by adding Project North Star, once constructed, we could deliver $150 million in adjusted EBITDA per year from the fuels, carbon value and co-products. From there, we believe we can enable and create a franchise approach to deploying synthetic aviation fuel globally. But first, we need to build cereal #1 and demonstrate the value proposition monetizing our commodities and carbon. Project North Star is designed to be a modular build that we can copy edit paste to meet the growing global demand for synthetic aviation fuel. North Star lays the groundwork for building out a franchise that is deploying many similar plants, either with our own capital or through partnerships to meet the growing global demand for jet fuel as the world flies more, not less. We are developing the playbook containing Gevo's intellectual property and business system, which can be effectively replicated and implemented on a global scale. The work we are doing at Gevo North Dakota and with Verity is critical and provides the blueprint for what needs to happen at more ethanol plants in the future. Low carbon ethanol is the feedstock for our synthetic aviation fuel. We need more of it, and we can help enable it. In fact, we started to sign letters of intent with third-party ethanol producers to bring Gevo's carbon business and Verity capabilities to other locations along with carbon management services. We believe our collaboration with Frontier Infrastructure Holdings and the options we are exploring to transport and store third-party carbon dioxide at Gevo North Dakota may enable more low-carbon ethanol facilities to be viable sites for additional ATJ plants. As we started to show at Gevo North Dakota, there is money to be made in setting the table with low-carbon ethanol today and potentially a lot more with ATJ additions in the future. We currently believe that this will take the form of us delivering and getting paid for our technology, business system and know-how. It could give us more flexibility between investing our own capital and more of a capital-light type growth model, the franchise model. While we are very optimistic about this growth, we will continue to be laser-focused on getting Project North Star to the finish line. Our goal is to reach FID on the project in 2026. We have a conditional commitment from the U.S. Department of Energy's Office of Energy Dominance Financing, or EDF, for a loan guarantee to finance the construction of an ATJ plant. As previously announced, we are discussing with them using that loan for ATJ-30. EDF is an excellent goal-aligned partner and a strong option for us, assuming we can get all the details worked out. Our goal is project level non-dilutive funding to build ATJ-30. Finally, as part of our growth strategy and what we've learned at Gevo, North Dakota, we'll also stay on the lookout for more acquisitions that are accretive, that strategically fit our platform and further scale our adjusted EBITDA. It was a transformational 2025 that we are leveraging to make 2026 even better. With that, I'll turn it over to Leke.
Oluwagbemileke Agiri: Thanks, Paul. Starting on Slide 4 of our earnings presentation. For the full year 2025, we had revenue of $161 million, a loss from operations of $20 million, non-GAAP adjusted EBITDA of $16 million, a record-setting low carbon ethanol volume of about 69 million gallons plus 173,000 metric tons of CCS at our production facility. During the fourth quarter of 2025, we turned positive on cash flows from operations, generating $20 million during the period. We increased cash, cash equivalents and restricted cash to $117 million at year-end, which is a $9 million increase versus the third quarter. All of the restricted cash we had at year-end was released after we completed our debt consolidation transaction in February 2026. Finally, we maintained our strong 2026 outlook, including our previously communicated near-term organic growth target of achieving annualized non-GAAP adjusted EBITDA of about $40 million and a neutral to positive operating cash flow in full year 2026. Turning to Slide 5. Our full year 2025 results showcase a transformative year and highlight how we executed on and integrated our strategic acquisition of Red Trail Energy assets. In comparison to prior year, revenue during full year 2025 increased by 849% Loss from operations decreased by $71 million, non-GAAP adjusted EBITDA increased by $74 million and the cash flow from operations increased by $44 million. On Slide 6, we can see the step change and the strong foundation for growth that we have built. The past 3 quarters have averaged $43 million to $45 million in revenue. Going forward, we expect revenue to vary quarter-to-quarter depending on the market prices of ethanol, RNG and environmental benefits. However, we expect our adjusted EBITDA drivers to remain resilient and grow in 2026. One of our adjusted EBITDA drivers, which does not depend on the market prices that I just mentioned, is our production tax credits. Last year, we sold $52 million of production tax credits related to Gevo, North Dakota as we produce ethanol and sequester carbon. We received about $41 million of cash proceeds in 2025 and expect the remainder in the first quarter of 2026. As a reminder, we book production tax credit as a reduction to cost of goods sold each quarter. Looking forward to 2026 operating results, we are confident in our execution capabilities and remain focused on achieving our target of approximately $10 million in adjusted EBITDA per quarter in 2026 or roughly $40 million on an annualized basis. We're also now targeting neutral to positive operating cash flow in 2026. With that, I'll turn it over to Chris.
Christopher Ryan: Thanks, Leke. 2025 was a record operational year. Gevo North Dakota recorded 69 million gallons of low-carbon ethanol volume during the full 12-month period and achieved a yield of nearly 3 gallons per bushel, which is close to the theoretical maximum. Included in that number is approximately 2 million gallons of cellulosic ethanol that was produced from corn kernel fiber. That adds incremental value due to its lower carbon score. Our carbon sequestration system sequestered 173,000 metric tons of CO2, exceeding our previously stated benchmark of 165,000 metric tons. Operationally, the plant is running reliably and efficiently. Our focus now is on; one, debottlenecking to increase ethanol, CO2 and co-product volumes; two, reducing carbon intensity further; and three, preparing for the fabrication of modules for our ATJ-30 project. We think our debottlenecking and expansion organic growth projects can increase efficiencies, put more money in the pockets of our farmer partners and local communities, drive down our carbon intensity score, optimize our production tax credits and finally, increase ethanol production to as high as 75 million gallons per year and we'll raise carbon sequestration to at least 200,000 metric tons a year. Most of these projects have a 1- to 2-year payback, and the remainder of the projects will improve our operational efficiency and asset life. In 2026, we plan to deploy about $26 million of capital, which further positions us to achieve stronger operating results starting next year. In addition to the incremental organic growth, Gevo North Dakota provides an exceptional foundation for our ATJ-30 project. We have our own captive low-carbon ethanol feedstock, our own operating CCS, we have rail infrastructure. We have about 500 acres of space, and we have a great operations team. This is why we believe ATJ-30 is the right project for the site and why Project North Star will be a good showcase to pursue Gevo's long-term copy-paste strategy. Back to you, Pat.
Patrick Gruber: Thanks, Chris, Paul and Leke. While the company has solid economic footing with a clear path to grow adjusted EBITDA even without building the jet plant, investors should be able to see how the cash flow from our businesses benefit us prior to the ATJ-30 plant coming online in the future. We built a strong foundation from which to grow. I believe the ATJ opportunity is exciting, especially with Project North Star and the franchise approach. It has taken longer than I ever wanted to get to the point where we are today, but here we are. And looking back, what a journey it's been. I'm incredibly pleased with where we are and where we are going. I'm most proud of the terrific team we have. I hear from investors and partners all the time how impressed they are with our people. We work to deliver, and we are incredibly persistent because we believe in what we are doing with deep conviction. So for me, the timing is right. The team is strong. The balance sheet is looking good. There are what I believe to be great opportunities in front of us. It's time for me to pass the torch to Paul, who I have bet will be a great CEO. And with that, we'll take your questions. Operator?
Operator: Certainly. And our first question for today comes from the line of Jeff Grampp from Northland Capital Markets.
Jeffrey Grampp: I was curious on the CI front. I believe there were some changes in the calculations that kicked in at the start of this year. I was just kind of curious to contextualize those a bit more. Is there any way you guys could share maybe like what your CI score were in the back half of 2025 and how much of a benefit that could be for you guys looking ahead into this year?
Patrick Gruber: I think let's -- I think what we should do is give an outline, Leke, of the kind of numbers that you're seeing.
Oluwagbemileke Agiri: Yes. Absolutely. Thanks, Pat. I think high level, so last year, our Gevo North Dakota, as you know, we generated and monetized $52 million of tax credits. That was based on a CI score of low double digits last year. With the changes to the guidance and then the 45Z-GREET model, how that's going to work in terms of [ no eye lock ] effectively, I think that's what you're referring to. That impact is going to be reflected in the amount of 45Z that we generate for our Gevo North Dakota asset in 2026, not necessarily 2025. And the impact that, that has on our CI score is it's going to reduce our CI score by pretty much 6 to 7 CI points. And when that happens, we expect to generate an incremental $0.10 per gallon in 2026. That is what we expect to see from our facility in 2026 in terms of 45Z. So based on our projected production of our Gevo North Dakota asset in 2026 of 67 million gallons, we are going to be in that threshold of $0.90 per gallon of credit generation in 2026. Changes to the 45Z guidance has very little to no impact to the 45Z generation for our RNG production or RNG asset at this time.
Jeffrey Grampp: Perfect. I appreciate it. That's exactly what I was looking for. My follow-up is on the ATJ side. I believe that DOE extension that you guys got last year has maybe a couple more months remaining, at least on the original extension. Is it fair to assume that something gets figured out with them or another party by that deadline? Do you think additional time may be needed? I know you guys are targeting this year for FID on that, but wasn't sure if there's other things at play to reach that FID outside of financing.
Patrick Gruber: Paul, your question.
Paul Bloom: Yes, sure. Great question, Jeff. Yes, we're working -- we've been working on this for a number of years now, 3 years going on. And so we want to get this to the finish line with the DOE. And we're pretty excited about where we're at and continuing to move this forward. But yes, we're absolutely -- when that got extended through mid-April, so we'll be working with the DOE to reach a decision there on most likely an extra extension is what we're looking for. But we're also working with a number of other parties who we're excited about, who see the value in the ATJ platform. So it's a combination of things.
Patrick Gruber: Yes, I'll add to this point is that the economics look good. One of the interesting things that happened was that we're having -- our engagement with the DOE, and they fully understand that we want to build that ATJ-30 plant up there in North Dakota rather than a 60 million gallon plant down in South Dakota, outstanding. You know what, the economics are good. We have low carbon ethanol. It's a great site. Carbon capture is under our control. We've got half of what we would have had to build in South Dakota already built up there in North Dakota. And so other parties are interested, too, and other people are interested in working with us to finance it, particularly because of this franchise model that Paul was talking about.
Operator: And our next question comes from the line of Dushyant Ailani from Jefferies.
Dushyant Ailani: Pat, it was a pleasure working with you and Paul. Again, congrats on the new role. My first question, I know that you kind of talked about that incremental $0.10. Maybe could you give a little bit more on the details on the path to get to that $40 million in EBITDA, the bridge? I know you guys have highlighted that before, but maybe if you can talk a little bit about the timing of it and how you can think about that going forward?
Patrick Gruber: Paul, that's a question for you, and then you and Leke teaming up on it, I think.
Paul Bloom: Yes. Sure thing, Dushyant. I mean you see what we've done right now. I mean, last quarter, we were kind of at this $20 million in EBITDA run rate. And with the extra push on the carbon and our good and low carbon fuel sales, we've got that coming forward. Now we're looking at -- you heard what Leke was saying, we can't get more than kind of this dollar per gallon. That's where we're going to cap out with the 45Z tax credits. So you put those kind of things together with the existing assets even before expansion, and we're really looking at how this shapes up to something like around a $10 million kind of average per quarter going forward. So that kind of puts in perspective. Leke, maybe you can chime in with a few extra details there.
Oluwagbemileke Agiri: Paul, no, I think you captured it. I think the trajectory is we are on track with really just how our EBITDA mix is made up to be tracking exactly as to how we're projecting, which is that $10 million per quarter. We feel very confident. I think 45Z is going to be part of the story, but we also do believe that really the intrinsic EBITDA margin that our assets can also generate also from the carbon monetization that we're doing, we're on the right track to achieve that goal.
Dushyant Ailani: Understood. And then my follow-up was, I know you mentioned some talk around potential acquisitions as well. Maybe could you dive a little bit further into that, what kind of assets you're looking for and maybe around timing of those?
Patrick Gruber: Yes. I think I'm going to follow up on one other thing about an important point about Gevo and Leke and his team compared to other companies who talk about 45Z. We actually -- Leke his team actually brought the money in the door. That's an important distinction. And it shouldn't be -- that's an important point. It's not a hypothetical. It's a real thing that's been brought in. Now as far as looking at are there other Gevo North Dakotas that we could apply our skill to and bring value to. Paul, do you want to comment on that?
Paul Bloom: Yes, sure. I mean, look, I think this is what we're learning, Dushyant, at Gevo North Dakota that there's a lot of money to be made kind of setting the table as we think about the ATJ franchise. So as we look for how do we build out that franchise, we're looking for similar things that we've already identified. And it was a good learning for us going from South Dakota to North Dakota. We have on-site CCS in capture. So that's good. You got to have good corn. You got to have good logistics, right? You have to have all the good things that we're proving that are critical. And again, that kind of sets the base for then how do you grow ATJ. And so as we look through this and we talk to others, we know there aren't that many of these different assets out there, but we're going to keep our eye on that because I'd sure like to have another Gevo North Dakota if it exists. But we're going to just keep watching for that and be opportunistic.
Operator: And our next question comes from the line of Sameer Joshi from H.C. Wainwright.
Sameer Joshi: Just sticking to ATJ-30 and the financing thereof. The FID is expected during 2026. Is it dependent on the EDF loan guarantee transferring to this? Or it is independent of it?
Paul Bloom: Sure, Sameer. Look, I mean, it definitely accelerates things quickly, right? We can get the debt sizing right and move this forward and get the loan completed here. So that's a fast track that we want to try to keep moving forward. But like we said before, we're working with others because we're advancing the engineering along. And if you remember, we did a lot of work in South Dakota. So this is -- as we're thinking about how do we fit this project into -- at North Dakota, it's really taking it from that 60 million gallon size that we had there to a 30 million gallon size. Good news is now we've got 2 different sized designs for our franchise. And then we basically have a little bit less on the capital to go out and get. But it's a combination of looking at what's the debt and the equity that we're going to have and who are the partners to put that together. Either way, we want to get this thing moving because we want to get -- like Pat was saying before, North Star has just fantastic economics. And we think that the returns speak for themselves with potential to add up to $150 million in EBITDA from adding the ATJ-30 and Gevo North Dakota.
Patrick Gruber: And you have to remember that we're a lot more interesting than we used to be. We're positive cash flow kind of situation here. And so that makes us a whole lot less risky. And that's not lost on all kinds of people who invest in these types of things, right? There's a good base, same thing we were talking about, strong base, good economics up there. Everything is under our Gevo control, and it's a good situation. So yes, there's other options available.
Sameer Joshi: Makes sense. It was interesting to see the 2 million gallons of corn fiber cellulosic ethanol being produced. Is it -- like what are the considerations in either increasing that volume or in order to get a higher CI score, like can you go do 4 million next year or 7 million? Just wanted to understand what the limits or extent is.
Patrick Gruber: Chris?
Christopher Ryan: Sure. So the way we make that corn fiber ethanol is really through the new enzymes that we add. And there's definitely room to optimize things, absolutely. We continue to do that. So you might expect incremental increases. At the same time, we are working on getting more ethanol gallons out the plant, including the capital investment to further debottleneck the plant. And likewise, that will result in more corn fiber ethanol. So that's really -- it's really in the enzymes.
Patrick Gruber: And I think as far as improving the overall economics, you got several levers they're working on, right? Chris just mentioned the increased production of ethanol. We're producing quite a lot of CO2 right now, capturing more of it and then capturing additional that comes off as we produce more ethanol, that's awesome. We have -- we can optimize co-products, the protein and the corn oil. And of course, we were just talking about the cellulosic. So there are several levels. And that's why helping debottlenecking up there is important every little bit matters because we really would rather have $1 a gallon on the tax credits, plus it generates more CDRs, and those are valuable in the marketplace. And those are completely separate than those production tax credits. They're not the same at all. So that's an important point. We're increasing the number of products available by increasing how effective we are capturing the co-products and the ethanol.
Sameer Joshi: Got it. Just one last one. I don't think we discussed Verity in any detail. But are we on track to sort of commercialize that during this year for feedstock traceability, agricultural applications. Just would like to see where Verity is at.
Paul Bloom: Well, Sameer, great question. So we're pretty excited. I think we finally got a really good catalyst. And we talked a little bit about the 45Z tax credits. And if you see -- if you look at what guidance came out from treasury recently, while it didn't perfectly include that ag benefits would be counted and indicated that ag benefits would likely be part of what is going to be added into 45Z tax credits, which is exactly the kind of carbon accounting and traceability solutions that Verity was designed to actually deliver. So we've been actually signing up more customers over the past quarter than we ever have before. So it's a combination of traceability and basically think about compliance services that you need to simplify, right? These are a lot of complicated calculations that need to be done. Gevo has to do them for ourselves. This is why we created it. We created it as a tool to simplify our lives and make things more accurate and easier to do. But that's the same thing that our customers for Verity need. So we're really excited about that, and we're trying to make it more operational friendly and work with farmers. So you may have seen that we also announced the partnership with Bushel who has a lot of farm management and grain software that help farmers just with their regular business. And so this is how we're now starting to integrate Verity with actual farm business software to make it really an integral part of how people do their business and also do their tracking and traceability that is needed to monetize. So we're pretty excited about that. So thanks for asking the question.
Sameer Joshi: Yes. sounds really good. Thanks, Patrick, for bringing the company so far Paul, good luck for the future.
Operator: And our next question comes from the line of Derrick Whitfield from Texas Capital.
Derrick Whitfield: Congrats on a strong year-end. And Pat and Paul, congrats on your respective updates. And Pat, hopefully, you can enjoy some well-deserved time off in retirement. Starting maybe first with bigger picture. With what you guys have accomplished over the last year, I mean, it's quite remarkable as you look at Slide 5. Paul, for you specifically, as you think about, again, this progress that the organization has accomplished and where you'd like the organization to be next year at this time, how would you paint the picture of what changes, if any, to expect? And it could be as simple as emphasizing certain aspects of the business, but just kind of how you think about the business and where you'd like to be 1 year from now?
Operator: Yes, sure, Derrick. And look, it's an exciting time, right, because we have come so far in this past year and started things. I think the carbon business is one that we're really excited about, and we've been working on growing, and it's just getting started, right? So we're selling fuel with carbon attached or pulling that off separately. And I think the biggest thing that we've learned and the biggest -- maybe the biggest opportunity is just how do we really sell and monetize that carbon. We're starting to see our sales pick up with brand names. And obviously, there's a long way to go because we're just getting started. But really, the market is just getting started. So I think as carbon develops, if you look at some of the stats on the carbon markets, about 44 million tons of carbon has been sold in these carbon dioxide removal markets, but only about 2.8% of that has actually been delivered. We're one of the first companies to be actually producing and delivering carbon credits and have a model where we can basically select between do we sell into low carbon fuel markets that have good returns or do we separate that carbon if there's more value to sell into separate markets. So really getting that -- dialing in that carbon business and improving on it because we're just getting started, I think, is a big deal for us. And that not only rolls into how we're doing our low-carbon ethanol business, that's exactly the same way we're thinking about the ATJ business as we think about a franchise, right? Because we can sell that fuel with those carbon attributes. It's called a little bit different terminology, Scope 1s and Scope 3s when it's sold with the fuel, but we can also separate those off and sell customers, those Scope 1s and Scope 3 separately from that physical fuel. So it's really the same business model just applied to different commodities. And so as we get good at this, and we've already got essentially half of the output of the carbon sold from ATJ-30 under contracts. So I think that's going to be a bigger part of what we do. And that's a bigger part of the business that we believe we can bring to others, right, as we franchise this business. We don't have to own all the ethanol assets in the world. We don't have to own all the ATJ plants in the world. We have a business system that we can kind of copy paste even on that side and help people and get paid for our know-how and our business system as we bring that playbook, right? And so this will be kind of the piece we really look at is what is our -- how capital intensive do we want to be? Obviously, we like -- we love the returns that we're getting from Gevo North Dakota. And so it's great to have that asset, and we'd sure love more. But we realize that we got to manage that growth and how can we do that in an efficient way to balance our capital versus a capital-light strategy, which is where we think that franchise model comes into place. And that's a model, too, just thinking about how else we grow. We're talking a lot about ATJ, but we just licensed our technology to Praj for IBA for diesel in India. And I think this model really applies not only for what we're doing in ATJ, low-carbon ethanol, but it applies for what we can do in renewable chemicals. It applies for what we can do in isobutanol. So just think about that as we bring these business systems forward, that's the picture that we're going to be working on and developing with partners, and we're excited to get this going. And like we said earlier, signing LOIs with even other ethanol companies to bring kind of Gevo's know-how and business system to help them and then for us to get paid for it.
Derrick Whitfield: Great. No, that's a great update. And maybe shifting over to ATJ with my follow-up. One of your industry peers has experienced some challenges with their ATJ project over the last year. As we inch closer to your FID, could you speak to how your ATJ-30 project is different from a scale process and risk perspective to that other project that I'm referring to?
Patrick Gruber: I can give -- I think I can give a perspective and then Chris. One of the things that we did, we're using known unit operations, proven at full-scale commercially unit operations. We didn't rely on anything new like other people might have done. We didn't take something off of a laboratory in a national lab and never have it seen proven out. We're using unit operations that anyone can go kick the tires upon because they come directly from the petrochemical industry. So there's nothing new in that regard. How we put it together, how you lower CI score, how you optimize, that's different, but that's not what makes or break it. Chris, Paul, you guys want to add anything else?
Christopher Ryan: I'll add just a bit and then Paul can chime in. So Pat, I'll echo what you just said, which is, yes, we're using proven technologies and their technologies from a proven company that has commercialized many, many things at large scale, including at oil refineries. In fact, the engineering that's been done, so at the heart of the process is from a company called Axens. But as we design the entire process around it, we only use engineers that have experience working on these things and have the capability of supporting operations once we get operating. So these engineers aren't just desktop engineers. They've actually operated assets. and they have experience starting up plants. And so it's that experience. And like what Pat said, there's no new technology gives us a lot of confidence this is going to start up very easily. Paul?
Paul Bloom: Yes. I think Chris nailed it, right? I mean when we talk to a lot of companies in diligence, right, they figure out, especially on the petroleum side that they've got these assets already running, not all coupled together in the same order, but individually running in operations that they already are running. So it's one of those kind of things where we took a proven approach, right? So we know these unit operations work. Yes, they're integrated together a little bit differently, but we've also been working with companies like Praj. And Praj actually just put all these unit operations together in a fully functional integrated pilot plant. And I was actually there and got to open this spigot and jet fuel poured out the other end with ethanol going in one end. So it was great, but I think we've really -- the combination of using known technologies and really good partners and great engineers who understand this have really put us in a very different spot from that other group that you're mentioning if I'm assuming who it is and how we're ready to execute.
Patrick Gruber: And I'll add one more thing is that we think about it completely differently. We're trying to do something that's scalable to really big scale and really low economics. We're not trying to do some one-off specialty thing, and we're not venture-backed. We were -- it isn't that kind of a perspective. We're actually trying to solve a real-life problem, deliver jet fuel that's cost competitive with petroleum. Yes, we're going to sell the carbon attributes to go with it. And no waste is not a strategy. You can't get there from here. I was just doing some research about this, again, where it's -- you take waste products, yes, it drives up the price. We've seen this over and over again. You know what, carbohydrates are a great feedstock there, way abundant in oversupply across the world. Paul has got a great saying that I love, take carbohydrates, right? Paul, what do you do with them? From the waste line to the airline, I think.
Paul Bloom: We take those carbohydrate calories from the waste line to the airline so fast.
Patrick Gruber: I see one more [indiscernible] to make jet fuel out of it. So it's a whole different perspective of scale of what we're trying to do. And that's how we think about it. Super pragmatic. We don't want technology risk. That's why we're able to clear diligence at the DOE. That's why we've been able to clear diligence with our other big partners. It isn't a -- it's not a project just to generate vibes, is to make it breaking real for the long run and win.
Derrick Whitfield: That's a great answer. And maybe one if I could just follow up on the $40 million run rate. I think based on what I've heard you guys say, there appears to be some upside with debottlenecking that hasn't necessarily been factored into the $10 million per quarter run rate. And then also when you kind of think about what's happening in the LCFS markets now and where you're going to place the product, it feels like there might be a little bit of extra upside there because you now have a few more markets competing with one another for those molecules. But again, any color you can offer on that front would be helpful.
Paul Bloom: Yes, sure, Derrick. A couple of things there. If you look at the LCFS markets first, right, we're still applying for pathways where we want the pathway with carbon capture. We've got pathways today without carbon capture and sequestration, but we'll look at applying and we're in the process of applying for those today and positive outlook on getting those done. But places like Canada in Canadian CFR, right, where the credit prices are $2.50 or higher, right, really nice from a carbon perspective, and that looks positive. We're obviously selling into markets today that have good returns on LCF markets. But the other thing that you have to remember is we're also inventorying some CDRs to build inventory to satisfy some of our contracts and spot sales in that market that we think is going to grow later. And as we do that, that's carbon value that we can't sell into those existing LCF markets that we're selling into today. So it's a little bit of a delayed revenue there. And so what you probably will see and Leke was talking about this a little earlier, we'll have this kind of push and pull with inventory build on carbon that we sell separately into carbon dioxide removal markets. LCF markets that have more immediate returns. And so you'll see that kind of balance out a little back and forth. And then, yes, I think, of course, as we continue to finish up some energy efficiency projects, we get a lift from additional or lower CI score on 45Z going forward. All those things are going to be adding up to get us to that number.
Operator: And our next question comes from the line of Peter Gastreich from Water Tower Research.
Peter Gastreich: So congratulations to the team on the results. Also, Pat and Paul, many congratulations to you and really wish you both the best during the transition. Just a couple of questions. First of all, you were just talking about the -- or Paul is just talking about the CDR inventory and carbon credits. Just curious what you're seeing in terms of pricing in terms -- in the voluntary CDR market? And what is your outlook there?
Paul Bloom: Thanks first, Peter, for the congratulations. And when you look at the carbon markets, like we said, it's a developing space, right? So it's hard to peg it at kind of a number. And that's why if you look at our investor presentation, we've got a range. So typically, we have a range in the voluntary markets anywhere from $100 to $300 a ton for those voluntary carbon dioxide removal credits. And like I said, we're on the top 10 list of the suppliers in that market today. So that's pretty exciting for Gevo to move from basically nonexistent there to one of the top 10. And then when you look at the low carbon fuel markets, I would have said even in the investor presentation that's on our website, we've got that pegged a little lower. Typically, we've seen markets like California be down even as low as $50 a ton, which that's not very attractive, especially if we're -- we have this optionality. But now when you see Canada and Oregon start to really ramp up and get up to these $200 or $200 plus over $200 numbers, then this is where we've got good competition between carbon dioxide removal markets in the voluntary space and the compliance markets with low carbon fuel. And so we're going to continue to leverage that to our advantage so we can make some decisions and figure out where to place volume both with our commodity and our carbon value to get Gevo the best returns.
Peter Gastreich: Okay. Great. So my next question is just about your share CCS capacity. So it looks like the Frontier partnership that's really going to help accelerate the plans there. I'm just curious, first of all, are you able to share what would be a realistic time line for starting to bring in that third-party CO2? And the question also second question related to that would be, once you reach a critical mass of volume, I don't know if that's in terms of contracts or whatever, will you have incremental CapEx of any sort, perhaps above ground that will be required to accept those incremental volumes?
Paul Bloom: Yes. Sure, Peter. I mean I think when -- the Frontier Infrastructure Holdings partnership or collaboration that we've been working on, it's been really interesting because I think what -- there was a lot of promise from these pipelines. And obviously, we had a pipeline that we thought was going to come to us in South Dakota that didn't materialize. So we feel that. And so this is exciting to think about CO2 by rail. And I think it comes back to -- we're going to be producing more fuel and more carbon dioxide co-product and capturing that and capturing more in North Dakota. But today, for example, we're only using 16% to 17% of what's called our pore space, which is the available volume for storage. So we've got a lot of extra capacity. So really, our goal is to figure out, as we expand, we want to make sure we're capturing Gevo's carbon dioxide, but we can help others. And what we've learned working with Frontier is that there is -- there are a lot of ethanol companies out there that we can help. And this is where it comes back into this approach where our carbon management services, if we can bring in CO2 by rail and monetize our pore space, this is a big deal for us because we could get paid in things like storage fees. We can help with carbon marketing. So we're still in the design phase of this. So we're scoping this out. I think it's still going to take a while because you have to build basically a terminal to put in place. But that does get pretty exciting if we can connect the dots between the rest of the capacity that we've got, and it doesn't mean that we have to stop there. We could probably access more capacity in the pore space around us. But pretty good opportunity for us. And if you look at our investor presentation, this is where a lot of the unlock going beyond that $40 million up to the $110 million in adjusted EBITDA and the carbon value comes from how do we monetize this pore space, how do we help others with the carbon business. And that, in turn, right, I mean, the other piece, and I'll just try to connect the dots full circle here, is the more low-carbon ethanol plants we can enable by helping them with carbon management services, whether it's the actual physical removal and storage of that carbon or the digital services like Verity and things like our carbon business, that sets that table for more sites to be fully enabled and ready to be a site for an alcohol to jet plant. So I think that's really that combination and how it fits. It's not just the revenues that we could generate today from that kind of relationship. Those are great, but it's really how do we have or enable 10, 15, 20 more sites in the future.
Operator: This does conclude the question-and-answer session of today's program. I'd now like to hand the program back to Pat Gruber for any further remarks.
Patrick Gruber: Well, thank you all. It was a fantastic year. It's a lot of potential. This carbon business is extremely interesting. It gives us the ability to arbitrage, look at -- make decisions discretely about where can we capture the most value. We're the first to do it, and we're breaking a lot of new ground at it, and it's quite interesting. I'm really grateful for the team up there at Gevo North Dakota. They've done a fantastic job running that plant. Congratulations to all the folks who've done it. Chris, great job. And it was really a good move for us to acquire that and bring it under our -- get that asset under our control because it solves all kinds of problems. Now we have low carbon available, boom, box checked. That question is answered, sequestration available. It's a beautiful sequestration site. I don't think we had a full appreciation of how great it actually is compared to the others that are out there. It's outstanding in that it's a -- we're the only ones in that formation, and it's an outstanding well. And so we're learning more and more about why that's so important. And you see the results in that we got certified as a 1,000-year well by Puro.Earth. And I look at the potential of what's going on here, and you see these things that Paul mentioned, like the IBA in diesel fuel. Who would have thought? We never have quit working on IBA. It's just in the background because you don't need it for jet fuel, but it's good for other stuff, other fuels. Great. Those things are going to happen sometime in the future using partners. Awesome. And so get the ATJ plant done. You heard Paul talk about it. We got to get that done and then do the franchise model. Already, Paul talked about bringing the -- being able to go to other parties or other ethanol companies who want to learn from us, and we can -- we have a service we can provide and get paid for. Those are all very interesting things. So we're hugely derisked situation compared to where we've been. We have a huge amount of intellectual property, huge amount of growth potential. And so this is, I think, something around my 59th or 60th earnings call, my very last one. I want to thank you all for your investment. Thank you for your questions and sharpening us -- forcing us to sharpen up over the years, especially me, and thank you for all the opportunity to work with you all. I truly appreciate it, and I wish the team the very, very best. And with that, I sign off. Thank you much.
Operator: Thank you. And thank you, ladies and gentlemen, for your participation in today's conference. This does conclude the program. You may now disconnect. Good day.